Operator: Good day, and thank you for standing by. Welcome to BitFuFu's First Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Charlie Brady. Please go ahead.
Charles Damien Brady: Thank you, operator. Good morning, ladies and gentlemen, and welcome to BitFuFu's First Quarter 2025 Earnings Call. The company's financial results were released earlier today and are available on BitFuFu Investor Relations website at ir.bitfufu.com as well as on the globenewswire.com website. Joining me today on the call are Leo Lu, Chairman and CEO; and Calla Zhao, Chief Financial Officer. Before we begin, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities and Litigation Reform Act of 1995. Statements that are not historical facts, including statements about the company's beliefs and expectations, are forward-looking statements. Forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from management's current expectations. Potential risks and uncertainties include, but are not limited to, those outlined in the company's public filings with the SEC. The company does not undertake any obligation to update any forward-looking statements, except as required under applicable law. We will be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results in the reconciliation tables provided in today's earnings release. One final note, although we will not be conducting a Q&A on this call, questions can be e-mailed to ir@bitfufu.com, and we will respond to as quickly as possible generally within 24 hours. I'll now turn the call over to Leo Lu, the company's Chairman and Chief Executive Officer.
Leo Lu: Thanks, Charlie. Good morning, and thank you for joining BitFuFu's First Quarter 2025 Earnings Call. I'll briefly cover our first quarter performance and provide updates on our strategic growth initiatives. Before turning it over to Calla to cover our financial results in more detail. As expected, our first quarter revenue declined year-over-year due to the increased network difficulty and the April 2024 halving event which reduced the Bitcoin block subsidy from 6.25 to 3.125 Bitcoins. In the first quarter of 2025, we achieved total revenue of $78 million compared to $144 million in the first quarter of 2024. Net loss of $17 million and adjusted EBITDA of minus $11 million were significantly impacted by the unrealized fair value loss of digital assets and digital asset collateral receivables or payables, which was $19.4 million in total. We ended the first quarter of 2025 with total mining capacity under management of 20.6 EH/s and hosting capacity of 478 megawatts compared to 28.6 EH/s and 644 megawatts as of March 31, 2024. This decline was primarily driven by 2 temporary factors: First, certain hashrate procurement contracts expired during the quarter, while the new contracts were still under negotiation at the end of March, resulting in a short-term reduction in available mining capacity. Second, several of our suppliers underwent miner fleet relocations and hardware upgrades, which temporarily disrupted the flow of purchased hashrate. Despite these headwinds, we have seen a strong recovery in recent weeks. Earlier this week, we announced a significant rebound in total mining capacity under management. By April 30, our hashrate had increased to 28.3 EH/ s, nearly matching the levels we achieved as of March 30 last year. This momentum continued into May with hashrates reaching 34.1 EH/s by month end. It's important to note that much of the hashrate added in May came from the latest generation Antminer S21 series. These units deliver materially higher efficiency which not only improves our cost structure, but also positions us well to maintain competitiveness even as network difficulty continues to rise. This rebound underscores the strength of our supplier relationships, the agility of our procurement strategy and the resilience of our overall business model. Looking back to the achievement of the past quarter, we closed the acquisition of a mining facility in Oklahoma, lifting our cellphone hashrate to 4.2 EH/s and advancing our vertical integration strategy. Although deliveries from some long-standing suppliers tapered off, we broadened our network, added new partners and increased orders from existing ones, strengthening the supply chain and lowering concentration risk. When leasing hashrate, suppliers usually ask for upfront payment. While we want to actively manage the risk of supplier defaulting and cash flow in Q1 2025, we created structures that satisfy both needs allowing us to expand our supplier base. We onboarded several new suppliers, one of whom, for instance, scaled its deliveries from 0.2 EH/s in fourth quarter 2024 to 1.6 EH/s in first quarter 2025 and 3.1 EH/s subsequent to the end of the first quarter. By the end of March, the hashrate managed by BitFuFu spanned 5 continents, giving us greater flexibility. Combined with our proprietary technology that slices and dispatches hashrate globally, this geographic reach supports uninterrupted cloud mining service for customers. We expect to replicate the supplier agreements and continue adding partners going forward. Moreover, in the first quarter of 2025, we continued expanding our global footprint, adding new customers across key growth markets in Africa and Asia. This expansion reflects the growing global demand for our integrated mining solutions and reinforces the scalability of our platform. The addition of customers in these regions not only diversifies our revenue base, but also strengthens our position in markets with increasing digital asset adoption and infrastructure investment. As we continue to build brand recognition and local partnerships in these geographies, we expect to unlock additional growth opportunities and further enhance the resilience of our business across economic cycles and regulatory environments. While the initial contribution from new customers may appear modest, this is consistent with typical onboarding behavior. New users often begin with small trial orders before transitioning to larger recurring commitments. Notably, our top 2 revenue-generating customers in the first quarter only joined the platform in late 2023 and early 2024, 1 in November and the other in January. This demonstrates the potential of new accounts to scale quickly. We believe our current pipeline of new customers has the potential to become a significant contributor to future growth. During the first quarter, our average electricity price declined by 18% and compared to the first quarter of 2024. Due to our continuous efforts on optimize our cost structure to mitigate the impact of possible growth in future electricity costs, we have been actively joined curtailment plans in the mining sites we operate in the U.S. and explore other cheaper powers globally. Looking ahead to our capital expenditure plans for the remainder of 2025. We are actively evaluating opportunities in the U.S., Canada and other part of the world. These include a mix of operating facilities and greenfield development sites. The review process has been deliberate and methodical reflecting our commitment to disciplined capital deployment. From a structural standpoint, we favor acquiring a controlling interest, typically between 51% and 75% rather than full ownership. We believe joint venture structures can be more capital efficient while also leveraging the local expertise of our partners to support smooth post-acquisition integration and ongoing operations. Now I'll turn it over to Calla to cover our financial performance. Calla?
Calla Zhao: Thank you, Leo. Good morning, everyone. I will now provide a deeper dive into our financial performance for the first quarter of 2025. Total revenue for the quarter was $78 million, representing a 46% decrease from $144.4 million in the same period of 2024. In first quarter 2024, with a hashrate as high as 28.6 EH/s and before the impact of halving we recorded the highest revenue in the fourth quarter of 2024. Although we acquired more self-owned miners in the fourth quarter of 2024 and energized those miners in the first quarter of 2025, the temporary decrease in procured cash rate from suppliers, as explained by Leo just now, led to a decline in the scale of the first quarter. During the first quarter of 2025, we allocated the majority of our total hashrate to cloud mining services, leading to cloud mining revenue accounting for around 69% of our total revenue. In the past quarter, 86% of the average daily mining capacity provided by our self-owned miners were used for self-mining operations, and the rest 14% were used for cloud mining operations. 88% of the average daily mining capacity provided by the lease miners or third-party suppliers were used for cloud mining services. And the rest, 12% were used for self-mining operations. Our decision of mining capacity allocation was driven by continued strong demand from customers and near-term market volatility. In the first quarter of 2025, we reported a net loss of $16.8 million, primarily due to the mark-to-market adjustment on Bitcoin holdings between December 31 and March 31. Adjusted EBITDA was negative $10.8 million, also impacted by this noncash revaluation However, if excluding the $19.4 million unrealized fair value losses of digital assets and digital asset collateral receivables or payables, our adjusted EBITDA would turn to approximately $8.6 million, highlighting the underlying strength of our business model and operational execution. Turning to our working capital and treasury management as of March 31, 2025, we own a total of 1,835 Bitcoin. This includes 1,420 Bitcoins stored in our own wallets and 794 Bitcoins pledged for loans or asset acquisitions. It excludes 379 Bitcoins held as collateral from customers and suppliers which serve as performance guarantees under existing contracts. Our treasury strategy prioritizes long-term value creation. We aim to retain Bitcoin for potential price appreciation while selectively selling a portion to meet working capital needs. To manage liquidity risk, we sell Bitcoin on a frequent measured basis rather than relying on large onetime sales which helps us avoid being forced to liquidate holdings at unfavorable market prices. We anticipate higher capital expenditures in the future, particularly when we move forward with the acquisition of additional mining equipment or sites. At that time, we expect to fund these investments through a combination of existing balance sheet resources and proceeds from financing activities raised in advance. Under our framework agreement with Bitmain, we have secured access to up to 80,000 Antminer S21 series or the latest model, ensuring ample supply to support our business development. We will only purchase additional miners for our own operations, if we acquire new mining sites as all 3 of our currently secured facilities are fully deployed. In addition, we may procure Antminer for selling purposes. As discussed on our previous earnings call, the goal of our mining machine sales business is not simply transactional. It is part of a broader strategy to deliver value-added end-to- end solutions for our customers. By offering mining hardware alongside our cloud mining and hosting services, we're able to provide a comprehensive service package. This integrated approach deepens customer relationships, unlocks cross-selling opportunities and solidifies our position as a full-service provider in the Bitcoin mining ecosystem. I'd also like to take this opportunity to highlight our approach to credit and counterparty risk management. First, before entering into any new partnership, we conduct a thorough risk assessment. We only engage with counterparties that meet our internal standards. Second, we generally require secured assets as part of our commercial arrangements. In our cloud mining and mining machine sales businesses, most customers are required to pay service fees in advance, only a limited number of VIP clients are granted credit terms. And even then, we require them to pledge Bitcoin as collateral to ensure timely payment. Third, to mitigate risk related to asset custody, we store the majority of our crypto assets in cold wallets. When assets must be held in hot wallets, we ensure they are protected by sufficient insurance coverage. These measures are designed to protect our financial position, ensure reliable cash flows and safeguard the digital assets under our management. Regarding our debt management, our plan is to repay a portion of the outstanding long-term payables over the coming year. This repayment will be funded through a combination of proceeds from operations and potential capital raise through financing activities. For the remaining balance, we intend to pursue an extension of the terms to maintain financial flexibility. As of March 31, 2025, our total outstanding loan balance was $40 million. Approximately 60% of these proceeds have been used to support credit sales extended to select customers and will be repaid by the customers within 1 year. Regarding the impact of U.S. tariffs on our business, like most public miners, the majority of our mining hardware is sourced from Southeast Asia, such as Malaysia. While tariff levels may vary depending on origin and product classification, we are actively monitoring developments and assessing any potential implications for our cost structure. Importantly, our strategic plan to invest in mining infrastructure and equipment in the U.S. and other suitable regions remains unchanged. I'll now turn the call back to Leo for his closing remarks.
Leo Lu: Thanks, Calla. Before we conclude, I want to thank our employees, partners and shareholders for their continued support and trust. We entered 2025 with clear priorities: scale our mining capacity, strengthen our infrastructure. broaden our supply chains and deepen our customer relationships. I'm proud to say, we've made meaningful progress on all fronts. Despite evolving market conditions, including regulatory developments and macro uncertainty, we remain focused on disciplined execution and long-term value creation. With a strong foundation in place, a diversified global footprint and growing demand across our service offerings, we believe we are well positioned to capture the next phase of growth in the Bitcoin mining ecosystem. Thank you again for joining us today. We look forward to updating you on our continued progress in the quarters ahead. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect.